Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the NexPoint Residential Trust Q2 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Kristen Griffith, Investor Relations. Please go ahead.
Kristen Thomas: Thank you. Good day, everyone, and welcome to NexPoint Residential Trust conference call to review the company's results for the second quarter ended June 30, 2025. On the call today are Paul Richards, Executive Vice President and Chief Financial Officer; Matt McGraner, Executive Vice President and Chief Investment Officer; and Bonner McDermett, Vice President, Asset and Investment Management. As a reminder, this call is being webcast on the company's website at nxrt.nexpoint.com. Before we begin, I would like to remind everyone that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 that are based on management's current expectations, assumptions and beliefs. Listeners should not place undue reliance on any forward-looking statements and are encouraged to review the company's most recent annual report on Form 10-K and the company's other filings with the SEC for a more complete discussion of risks and other factors that could affect any forward-looking statements. The statements made during this conference call speak only as of today's date and except as required by law, and NXRT does not undertake any obligation to publicly update or revise any forward-looking statements. This conference call also includes an analysis of non-GAAP financial measures. For a more complete discussion of these non-GAAP financial measures, see the company's earnings release that was filed earlier today. I would now like to turn the call over to Paul Richards. Please go ahead, Paul.
Paul Richards: Thank you, Kristen, and welcome everyone joining us this morning. We appreciate your time. I'll kick off the call and cover our Q2 results, updated NAV and guidance outlook for the year and briefly touch on a few subsequent events I will then turn it over to Matt to discuss specifics on leasing environment and metrics driving our performance and guidance. Results for Q2 are as follows: Net loss for the first quarter was $7 million or a loss of $0.28 per diluted share on total revenue of $63.1 million. The $7 million net loss for the quarter compares to net income of $10.6 million or $0.40 earnings per diluted share for the same period in 2024 on total revenue of $64.2 million. For the second quarter of 2025, NOI was $38 million on 35 properties compared to $38.9 million for the second quarter of 2024 on 36 properties. For the quarter, same-store rent and occupancy decreased 1.3% and 0.8%, respectively. This, coupled with the decrease in same-store revenues of 0.2%, led to a decrease in same-store NOI of 1.1% as compared to Q2 2024. As compared to Q1 2025, rents for Q2 2025 on the same-store portfolio were up 0.3% or $4. We reported Q2 core FFO of $18 million or $0.71 per diluted share compared to $0.69 per diluted share in Q2 2024. During the second quarter, for the properties in the portfolio, we completed 555 full and partial upgrades, leased 381 upgraded units, achieving an average monthly rent premium of $73 and a 26% return on investment. Since inception, NXRT has completed installation of 9,113 full and partial upgrades, 4,870 kitchen and laundry appliances and 11,199 tech packages, resulting in $165, $50 and $43 average monthly rental increase per unit and 20.8%, 64.2% and 37.2% return on investment, respectively. NXRT paid a second quarter dividend of $0.51 per share of common stock on June 30, 2025. Since inception, we've increased our dividend 147.6%. For Q2, our dividend was 1.39x covered by core FFO with a 72.2% payout ratio of core FFO. During the second quarter, the company repurchased 223,109 shares of its common stock, totaling approximately $7.6 million at an average price of $34.29 per share. During the second quarter, the company entered into a new 5-year $100 million SOFR swap at JPMorgan Chase with a fixed rate of 3.489%. Turning to the details of our updated NAV estimate. Based on our current estimate of cap rates in our markets and forward NOI, we are reporting a NAV per share range as follows: $43.90 on the low end, $57.73 on the high end and $50.31 at the midpoint. These are based on average cap rates ranging from 5.25% at the low end to 5.75% at the high end, which remains stable quarter-over-quarter. Turning to full year 2025 guidance. NXRT's tightening 2025 guidance ranges for core FFO per diluted share and same-store NOI while affirming the midpoint. And NXRT is revising 2025 guidance ranges for earnings loss per diluted share, same-store rental income, same-store total revenue and same-store total expenses, loss per share and core FFO ranges are as follows: For earnings, loss per diluted share $1.22 at the high end, $1.40 at the low end with a midpoint of $1.31 and core FFO per diluted share $2.84 at the high end, $2.66 at the low end with affirming the midpoint of $2.75. NXRT is also reaffirming acquisitions and disposition guidance. Lastly, I would like to take the time to discuss a few subsequent events, which have occurred over the past few weeks. On July 11, 2025, the company entered into a $200 million corporate revolving credit facility with JPMorgan Chase Bank Raymond James Bank, RBC and Synovus. The credit facility may be increased by up to an additional $200 million upon lender consent. The credit facility will mature on June 30, 2028, unless the company exercises this option to extend for an additional 1-year term. The new credit facility spread has improved by 15 basis points compared to the prior corporate credit facility. On July 28, 2025, the company's Board approved a quarterly dividend of $0.51 per share payable on September 30, 2025 to stockholders of record on September 15, 2025. This completes my prepared remarks. So I'll now turn it over to Matt for commentary on the portfolio.
Matthew Ryan McGraner: Thank you, Paul. Let me start by going over our second quarter same-store operational results. Same-store total revenue was down 20 basis points, with 4 out of our 10 markets averaging at least 1% growth, while our Atlanta and South Florida markets led the way at 3.6% and 2.3% growth, respectively. Notably, Atlanta's positive results were driven in part by 1% bad debt expense versus second quarter 2024 bad debt expense of 4%. We're also pleased to report some continued moderation in expense growth for the quarter. Second quarter same-store operating expenses were up just 1.5% year-over-year. Marketing and payroll declined 4.7% and 2.8%, respectively, year-over-year and total controllable expenses are up just 50 basis points. Insurance is down 20% driven by a favorable market environment on the property casualty side. Second quarter same-store NOI growth continues to improve in our markets with the portfolio averaging a negative 1.1%. A marketable improvement from negative 3.8% in the first quarter. 5 out of our 10 markets achieved year-over-year NOI growth of 1% or greater with Raleigh and Atlanta leading the way with 6.8% and 4.4% growth, respectively, our Q2 same-store NOI margin registered a healthy 60.9%. The portfolio experienced improved revenue growth in Q2 2025, with 4 out of our 10 markets achieving growth of at least 1.2% or better. Our top 4 markets were Atlanta at 3.6%, South Florida 2.3%, Raleigh at 1.5%, Charlotte at 1.2%. Renewal conversions for eligible tenants were 54.2% for the quarter, with 7 out of our 10 markets executing renewal rate growth of at least 2.75%. Again, on the expense front, they continue to moderate and finish the quarter up only 1.5%. Payroll declined 2.8% for this quarter and continues to trend downward as we implement centralized teams and AI technology. Our centralized platforms for renewals, screening and call centers alongside AI applications deployed across various aspects of the resident experience are driving greater efficiency and enabling reductions in off-site staffing, particularly within leasing offices. As mentioned previously, we are now focused on optimizing our maintenance operations to drive similar efficiencies across our markets. Again, marketing and insurance were the other categories that saw negative growth in the quarter. Turning to 2025 second half guidance. Supply pressures have eased somewhat, but continue to present concentrated challenges in some of our submarkets. According to RealPage 2Q 2025 marked the first quarterly drop of over 20 basis points in inventory growth in over 15 years as new deliveries tapered after peaking in late 2024. Despite the slowdown, over 400,000 units were delivered in the trailing 12 months, sustaining elevated competition in lease-ups. The upshot here is that after 1 more quarter of significant deliveries in 3Q of 2025 the national delivery outlook contracts to a GFC-level output of just 77,000 units per quarter, which supports our thesis on accelerating fundamentals in 2026, '27 and '28. More positive news demand outperformed expectations in the first half of the year. Net absorption surged the national stabilized occupancy rate improved to 94.6% in July. NXRT started the year off with occupancy at 94.7% and saw an opportunity to take advantage of our historically higher occupancy by upgrading units to the market standards, completing 765 units to date with an average ROI of 20.2%, and pushing rent growth, which has increased 1% on average since the end of 2024, driven by stronger retention and renewal leasing activity. Front-end pricing has improved from negative 4.73% in Q1 to negative 1.5% in Q2. And in late June and July, we have seen new lease growth slow modestly as operators remain defensive amid economic uncertainty and soft consumer sentiment. Renewal rent growth has been the strongest we've seen over the past 12 months and will remain a focus for the second half of the year. We see several markets continuing to see top line growth in the second half of this year and think Tampa, Dallas, Charlotte and Las Vegas will all exceed our revenue expectations by anywhere from 80 basis points on the low end to 130 basis points on the high end. On the flip side, we think South Florida, Orlando and Atlanta will be modestly weaker in the second half of the year. South Florida is projected to finish the year at 1.8% top line growth versus our prior forecast of 2.6% growth. This remains our strongest market overall for rent growth, but our most optimistic expectations for growth have been tempered for now. Orlando, we expect to finish the year at negative 1% versus prior forecast of being flat. And Atlanta finished the year at negative 70 basis points versus our prior forecast of flat. And while bad debt has improved significantly, we are feeling the pressure of new supply here, particularly in Cobb County. Due to supply pressures in these submarkets, we anticipate many of these headwinds to be short term as many of the lease-ups are expected to achieve stabilization in the later part of 2025. Bad debt performance has continued to exceed expectations, driven by decline in evictions. The portfolio finished 2Q with only 50 basis points of net bad debt. We have continued to see bad debt stabilize and expect to hold bad debt between 50 and 75 basis points for the remainder of the year. We expect the growth benefit of reduced bad debt to stabilize in the fourth quarter of this year and remain flat at pre-COVID run rates going into '26. Some of our revenue outlook, even though rents are decelerating from the first half of 2025 modestly we still expect to see some growth when compared to the trough that occurred in the second half of 2024. Occupancy will remain the focus, but our expectation is to average 94% in the second half of 2025 versus 94.7%, which was achieved in the second half of 2024. For this reason, we expect second half 2025 revenue to be more muted than we initially thought. On the expense front, controllable operating expenses have improved, supported by ongoing efficiencies through centralized operations and implementation of AI-driven technologies. Payroll has improved from our initial forecast, and we expect that we will lock in better performance in the second half of the year as we beat our first half forecast by just about $500,000 or 9.7%. We see salaries remaining stable in the second half of the year with an expectation that they remain flat. Repairs and maintenance costs have also moderated, particularly turn costs, which are trending down, and we expect to finish the year 3% below 2024 totals. Again, on our insurance renewal, it was very favorable, and the impact will be fully recognized in the second half of 2025 to the tune of $600,000 a year in savings year-over-year. Collectively, these trends support maintaining our current same-store NOI guidance at the midpoint of negative 1.5%, slightly softer revenue growth expectations, fully offset by efficient expense management. And while rent growth has underperformed historical Q2 expectations, tightening supply-demand fundamentals, stabilizing occupancy, improving collections and continued expense discipline support maintaining the NOI outlook, the latest real page summary echoes the sentiment, momentum trails expectations, but fundamentals are firming, and that's what we're seeing as well. A brief update on the transaction markets. We continue to actively monitor the sales markets for opportunities and stay close to many movements on cap rates. Several recent portfolio processes in our markets were recently awarded in the 5% to 5.25% cap rate range, again supporting our NAV guide. We too are optimistic we'll be able to recycle capital in the second half of the year with targeted acquisitions and dispositions to continue to replenish our rehab pipeline. In closing, in the near term, we will continue to prioritize the balanced approach, again, driving occupancy, maintaining disciplined risk strategies and managing controllable expenses to support steady NOI growth despite the transitional operating environment. That's all I have for prepared remarks. Thanks to our teams here at NexPoint and BH for continuing to execute. Now I would like to turn the call over to the operator to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Kyle Katorincek with Janney Montgomery Scott.
Kyle Felice Katorincek: How much of the $8 million in recurring capitalized maintenance expenditures year-to-date are non-revenue-producing?
Bonner McDermett: Good question. As part of the refinancing activity last year, the agencies looked at required CapEx, parking, pavement, siding, things like that. So we have a little bit of elevated spend this quarter over the normal. We also have some more significant projects, particularly in Nashville, we're doing 2 roof replacement projects in Nashville, some other chunkier spend. So I would say it's elevated certainly over run rate and skewed a little bit more towards that nonrevenue generating today. I think as we work through that and the third quarter, we'll get to a more normalized run rate in Q4. And I know Matt touched on the increase in output of renovations. That's really more focused on kind of bespoke $1,000 to $3,000 opportunities. So it's not been an acceleration and all that much spend there. If that's helpful.
Kyle Felice Katorincek: Okay. And then on the rehab program, last quarter's call, you guys mentioned it would take us probably a few quarters to get back to 400 units a quarter target. So what drove such a large increase that allowed you guys to ramp up to the 500-plus units in the second quarter versus what you were thinking last quarter?
Bonner McDermett: Yes. It's certainly been a focus of ours going into the year. We recognize there's an opportunity. It's probably not $10,000 to $15,000 unit full upgrade that we've been doing. But where we've seen opportunity, we've been able to, I think, deploy a little bit faster than we expected. Credit to the BH construction team and the asset management folks here. We identified an opportunity and we're attacking it full on.
Kyle Felice Katorincek: And then last one on that. For the ROI in your post-rehab units, what like is the useful life for tenure, you usually use to calculate your ROI on those. Is there any difference between full and partial units?
Matthew Ryan McGraner: No difference. And I think historically, it's been 7 years.
Operator: Your next question comes from the line of Linda Tsai with Jefferies.
Linda Tsai: Phoenix and Vegas saw bigger drops in 2Q occupancy of down 340 and 250 basis points, respectively. Could you just provide some color on what's happening there? Does that have to do with value add. And then you also mentioned that Vegas should exceed expectations by year-end. Is the inflection in 3Q or 4Q?
Matthew Ryan McGraner: Linda, it's Matt. I'll take Phoenix first. Phoenix is perhaps the most supply-driven market that we're seeing right now. Really, it's 3 properties in the second quarter that were surrounding lease-up deals, enclave, Heritage and Venue at Camelback. That's where we saw the most new lease rate pressure of kind of negative 8% to negative 10% in terms of new leases. Again, as I mentioned in my prepared remarks, we expect this to subside in the third probably not the third quarter, but fourth quarter and first quarter of 2026. So we're doing all we can to be defensive there, and that makes up some of the occupancy loss. On the Vegas front and Bonner, correct me if you see anything different. But really, it's targeted to 1 asset, Bella Solara, which had a little bit more weaker traffic than we thought. So that makes up most of the loss. Bonner, if you have anything to add on that.
Bonner McDermett: Yes. I would say for Phoenix, obviously, a large geographic concentration there. That market being one of the more recent peaks in supply you've got more concession utilization in that market than we've been accustomed to. We've had to adjust to that in the segment going into the third quarter. Overall, we think we'll finish the year there actually low 93% to high 92s occupancy. I think we'll be all right. We need to use a little bit more concessions to buy some occupancy there. But feel okay. In Vegas, we've been seeing negative trade-outs now for a period of time. our revenue -- our gross potential rent is actually better on the outlook for the rest of the year than we had originally envisioned for it. But we do see a little bit of softness in occupancy that we're working through to Matt's point on in Bella Solara, in particular, saw a decrease in traffic. It only net resulted in about 8 fewer leases for the second quarter, but it's something we're monitoring and something we think we can do better on. That's another midpoint of our guidance there is to finish the year at 92.8% occupancy. We certainly think we could do better and hope to, but I think we're being appropriately defensive at this point.
Linda Tsai: And then just 1 follow-up. What's driving the lower turn costs.
Matthew Ryan McGraner: Yes. I think the first and foremost thing is higher retention. We're trying to close the back door and have focused on renewals really kind of proud of the second quarter and into the third quarter renewal rates. And so that will continue to be a focus.
Bonner McDermett: But yes. We're also prioritizing in those market updates the increase in kind of partial renovations is targeted towards those potential heavy turns where maybe a unit we've already touched before and may have the majority of kind of modern update package, but we have an opportunity to go in, add a hard service counter, add a stainless steel appliance package, lighting package. We're doing smaller upgrades, trying to get a $20 premium there and then that goes into the capital bucket. So the increase in value-add is offsetting some of that turn cost.
Operator: I will now turn the call back to the management team for closing remarks.
Matthew Ryan McGraner: Yes. Well, thank you for everyone's time this morning, and I look forward to talking to you again next quarter. Thanks.
Operator: Ladies and gentlemen, that concludes today's call. You can now disconnect. Thank you, and have a great day.